Operator: Welcome to Aurizon Mines Third Quarter Earnings Conference Call. At this time, all participants are in the listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host David Hall, Chief Executive Officer for Aurizon Mines. Mr. Hall, you may begin.
David Hall: Thank you very much operator and good morning to everyone listening out there and welcome to Aurizon's third quarter conference call. Speaking to you from our Vancouver Office and with me today I have Ian Walton, our CFO; Chris McLean, our controller; Martin Bergeron, VP Operations; Roger Walsh, VP, Corporate Development, Julie Kemp, our Corporate Secretary; and on the lines from our outdoor officer we have Martin Demers, Manager of Exploration. The results were issued last night and the full MD&A is now on our website as is the slide presentation that we will be going through in this webcast but before we get into the presentation, I will ask Julie to read the cautionary forward-looking statement language. Julie?
Julie Kemp: Some of the information that will be discussed on this call may be forward-looking in nature including information regarding the company’s strategic plans, anticipated production, and other estimates and forecasts related to the company’s future operations. All such information expresses that the date of this presentation the company’s plans, expectations and beliefs and is based on the assumption that the company believes are reasonable. However, by its very nature forward-looking information is subject to risk and uncertainties and on that basis there can be no assurance of such information will prove to be accurate or that expectations will be achieved and except as required under Securities legislation, the company does not intend and does not assume any obligation to update these forward looking statements. For a description of the assumptions on which forward looking information discussed on this call is based and the applicable risks and uncertainties related to that information, we direct you to the management's discussion and analysis for the period under discussion and to our most recent annual information form both of which are available on SEDAR and on the company’s website. Please refer to the forward-looking statements, cautionary statements to US investors regarding mineral resources, and notes to investors included in the slide presentation for this conference call and webcast, which presentation is also available on the company's website
David Hall: Thank you, Julie. I will now go through a brief presentation and I will start with the highlights for the third quarter. First of all, I am pleased to say that we made the final delivery into our gold call option position at the end of September. So, going forward, every ounce that we produce will benefit from what we obviously a strong price in gold this morning and a price we think that will be sustainable going into the future. Gold production for the quarter was 29,905 ounces. That enabled us to generate cash wealth from operations of $7.1 million. We had earnings of $2.4 million or $0.02 per share. We ended the quarter in a strong financial position of cash and working capital of $131 million, no debt. During the quarter, we initiated additional metallurgical test work at the Joanna project with a target of competing the feasibility study there at mid 2011. We had very successful exploration results at Casa Berardi particularly in the area of zone I 23, where it looks as though we have got high grade core for that zone. We started work on several of our new properties notably Foyolle, where we had some interesting exploration results confirming our geological model. During the quarter, we added to our exploration portfolio by auctioning two properties and what we believe will be an exciting and emerging James Bay gold camp in Quebec. Moving onto the next slide, we talk about the production for Casa Berardi and it was a challenging quarter operationally. Here this is a transition year for us where we have to go through lower grade area of the mine setting ourselves up for much better years going forward. Given the third quarter that we were in a low grade sequence, that problem was compounded by high mechanical issues with some of our fleet, which caused us to deliver fewer terms than planned to the mill and a combination of those two things resulted in production of 29,000 ounces that came from processing 169,913 tons at an average grade of 6.2 grams per tonne and resulted in cash costs of $604 per ounce By way of comparison, this would be 15th quarter that we have at Casa Berardi since we brought the mine back into production in late 2006 and the tons of 169,000 were the lowest tonnage we have had since the first quarter 2008. The grade was the lowest grade we ever had the production for the quarter was the lowest production we ever had. So, was not a very stellar quarter. The good news is that we are solving the problems with mechanical issues with the fleet. We are improving our maintenance procedures. We are upgrading our fleet and we have added two new units since the end of the quarter. Going forward, we know that will be out of this lower grade sequence where it is going to be a material that will reflect the typical underground reserve grade of 8 grams per tonne and that sets us up for production of around 165,000 to 170,000 ounces annually going forward. Because of the issues that we had, we reduced our guidance to the year by roughly 5,000 ounces down to 140,000 to 145,000 ounces for the year. The bad news is it was a disappointing quarter; the good news is it is behind us and we are confident that, as we go forward, we will realize our targets of 165,000 to 170,000 ounces in the years to come. This is very much of an normally; it is not a trend as far as Casa Berardi production is concerned. Moving on the for the next slide. Obviously, because of the challenging quarter we had operationally that resulted in a disappointing quarter financially. As you can see our cash flow from operations with $7 million compared to $16.5 million in the proceeding quarter. Again that will improve as we go forward with better grade material and that the increased tonnage. The other thing that we should point to is our exploration activity which is re-expense all exploration other than Casa Berardi obviously had an impact on our cash flow from operations. First quarter this year we spent around $2 million on exploration and third quarter we spent around $5 million and in the fourth quarter we are increasing that again to about $6.7 million in terms of exploration on outside properties. We believe that it is a good investment because we believe that those properties are of excellent potential and that over time we will add ounces to our resource base and our reserve base as we go forward. Moving onto the next slide in terms of financial results for the quarter, revenues of around $40 million, earnings of around $2.4 million and the cash flow from operation around $7 million. As we said, the decrease in cash flow is primarily related to low gold production and sales from the lower production, as well as increased exploration activities and increased feasibility activities at Joanna. Moving onto the next slide, you can see how our margins have steadily improved. Year-to-date margin was $525 per ounce. It is also worth noting that in the third quarter 60% of our production was delivered into calls with an average strike price of $915 an ounce. So, now that we do not have those call and have a beneficial impact on our margins going forward and as we look forward into next year we envisage that our costs will be somewhere in the region of, let us say, $535 an ounce estimated at this point in time. You can see with today’s gold price of $1370 an ounce, we will have a very good margin next year on a production base of about 165,000 to 170,000 ounces of production from Casa Berardi. Moving on to the next slide in terms of our financial position, cash balances of about $131 million, same amount for working capital. So, you can see that despite the lower grades and higher costs that we encountered this year, despite delivering into calls at around $900 an ounce and despite increased exploration activity, our cash balance has still increased by $18 million year-to-date. So, the business is fundamentally sound and we look to increasing cash flow as we go forward. Now, I will spend a few minutes talking about the properties. As you know, our properties are based in Quebec. Over the last few months we have increased our properties portfolio from three up to nine properties now. Our properties are not only located in what would view be in the typical goal producing belt between Rouyn-Noranda and Val-d'Or, but we now have exposure in to what we believe be two new exciting areas first of all the James Bay gold camp with our Opinaca and Wildcat property. Lastly, (inaudible) in the brand new area in the north of the province which we believe will develop overtime into an important metals producing area. In the next slide you can see that properties those properties under various stages of evolution going all the way from very early stage exploration in Duverny through to full scale production at Casa Berardi. We now believe in the company we have a very good pipeline to generate the downstream resources, reserves and ultimately production. Now, let us talk about the properties individually, first of all, Casa Berardi. At yesterday’s board meeting, the board approved an investment of CAN$32 million over the next two years to deepen the west mine production shaft from approximately 760 meters down to the 1080 meters. This will be done in two phases. The first phase from 760 meters to 880 meters will be done using an [automatic raise] and the last phase, the second phase, would be to use will be done using conventional thinking. Because of the way we designed the shaft and we set it up with multi-compartment there will be no interruption to production. The $32 million also includes, as you can see there, a haulage drift at the 10-10 level of the 1010 meters below surface that will go around the new shaft out into the areas of 118 and 123 where we would be having very good exploration success. This investment shows the confidence we have in the long term future of Casa Berardi and opens up the lower area of the west mine for exploration and ultimately production going forward. In terms of the exploration activity that is underway, you go to the next slide, you can see we are planning a very active fourth quarter. We will invest about $2.8 million in exploration of Casa Berardi in the fourth quarter and we have got various targets that we will be drilling as are outlined on the slide. We are doing some deep drilling to test the dip in western extension of the lower interzone. On the left hand side of that sketch we will be doing more drilling to upgrade the resources in zones 118 and 123. In the area of the principal area will be deep drilling below that down to work zone 123 and we will also be doing some step up drilling to see whether we can extend the mineralization in the principal mine pit to the east where we have some good pits at the end of our winter program earlier this year. We want to go back and follow up on those pits as we go through this winter's program. Also we will be doing drilling in the eastern depth extension in zone 123. In terms of the East Mine, we are doing again some deep drilling from surface underneath the main East Mine on 148 zone and we are doing some drilling from underground and the area of the 146 zone and the [churdy] zone. This is just a continuation of the very active program that we have been carrying on in Casa Berardi for the last few months and we will have at least nine drills active probably seven underground and depending on the weather conditions perhaps two to four on surface as we go through the winter. This is a chart on some of the exploration we will be doing in Casa Berardi. Recently, we announced an updated resource estimate for the principal marked area, particularly the area could be mined by open pit. We increased our measured and indicated resources in that area by 94% to 690,000 ounces at a grade of around four grams per ton. This is pretty positive and this information is now being used to complete the pre-feasibility study on mining the principal area by open pit mining and our target is to have that completed five by the end of this year. The other areas where we have had very good success in Casa Berardi is Zone 123. This is about 900 meters east of where the present shaft is. We started with a small zone and started the year continuing roughly 200,000 ounces. We have now extended that into a mineralized corridor about 1 km deep 200m wide that contains various stat zones and mineralized lenses en-echelon and within that it looks as though we have a higher grade core that’s approximately 200 meters deep by 50 meters wide where we had some very good intersections notably 42 grams over 21 meters and 10 grams over 35 meters. We are very encouraged with this area. We think it will blossom out and become a an important source of production for Casa Berardi as we go in to the future and we will be doing more drilling on this as we go through the end of this year and into next year. Moving on to Joanna, during the quarter, we got the results of the metallurgical test work that we have done using the Albion process. It looked as though we can get a recovery at about 85% using the Albion process. We decided to do further test work, first of all, to explore the possibility of improving the results from Albion to see if we can get a better recovery with lower reagents consumption. At the same time, we are embarking upon the serious and detailed test work of autoclave. We are very pretty confident that the recoveries would be higher by at what cost? We probably use more oxygen but the reagents will be lower and we know it will be a higher capital cost of about $15 million. So, we want to do a detailed pilot plant test and do a cost benefit analysis weighing the increased recovery that we will probably get using autoclave against the CapEx and the operating cost to ge to that point. At the same time, we are looking at two other technologies, again with the view of lowering capital cost, lowering reagent consumption. These two are what we call emerging technology. They are under confidentiality agreements so, we can not really say too much about them but we are doing test work on those two technologies as we proceed. Plan is to have all this test work completed by the end of the first quarter net year and the delivery of the feasibility study in mid 2011. In terms of the other aspects of the feasibility studies we go to the next slide. That is going very well. The environmental impact study is well advanced. There are no serious issues there from an environmental front. Restoration and closure plan is underway. We have completed the tests work that we have to do and the studies we have to for hydro-geological and geotechnical. The noise study is well advanced. The road traffic and safety study is completed as is the study on concentrating the transport to Casa Berardi. So, all other aspects of the feasibility study are moving forward and moving forward at a good pace without any material problems or issues. Whilst we are putting the feasibility studies together, we are active with drill program at Joanna. On the next slide, you see a long section, you see where the pit is located on the Hosco zone. We believe there is a good potential to drill and increase those resources at Hosco. It remains open to the East side as we go towards the Alexandria property. There is an open area between satellite pit that we have just to the left of the Hosco area and we will be drilling that as we go through this quarter. Also drilling in the area of the potential second satellite pit that again is just to the left of the box outlining where the Hosco resources. Outgo, we will spend about four million on exploration in the fourth quarter at Joanna with two possibly three rigs active at any point in time. Now let’s move on the Marban project. This is a joint venture we entered into with Niogold where we can earn up to a 65% interest. It is situated in the Malartic camp. What we are looking at here is an area that has about 600 ounces of historical production. It’s got existing resources of about 850,000 ounces. It’s very close to our base, technical base in Meldor and we have initiated a 50,000 meter drill program there to really test the potential of the Marban block. This morning, you go to the next slide, we put out the initial exploration results that we got under that program from I believe 13 holes all together. We are very encouraged with those results as you can see with that intersections of about 1.2 grams per ton over 18 meters and 1.86 grams per ton over 23 meters in places and a high grade intersection of 33.19 grams over 2.4 meters. We are encouraged with these initial results. This program will continue with two and again potentially a third rig being added as we go through the fourth quarter. Moving onto Fayolle, again this is a property that we can get a 65% interest in over time. It is situated 10 km to north of our Joanna project. It is located on the Porcupine-Destor fault. We think there is potential for high-grade situation there. We started a 50,000 meter program a couple of months ago. You go to the next slide; you will see some of the results that we have been getting here, notably 112 grams per ton over 6 meters 8 grams over 11, 17 grams over 4 meters. Again we are very encouraged with the initial results from Fayolle and we will be doing more drilling on this property in the fourth quarter. Now we move to some of the earlier stage properties that we have in our portfolio. You can see their location in the next slide and you can see we got two properties in the north area of the province first of all opened up and well count in the James Bay gold camp and Rex South in the far north. Also little bit about Rex South on the next slide, we just completed our first program there and I will say the program went very well. The logistics are frankly very good up there, perhaps better than we had anticipated. We have got airborne magnetic and geological surveys. We have done over 700 lake bottom sediment samples and we have taken over 1100 rock grab samples. The program went very well from an execution standpoint and now we are waiting for the results to come in and we would anticipate we’ll have some news on our program at Rex South in the next 10 days or so. Moving on to Opinaca-Wildca, these are two properties that we added to the portfolio in the quarter. They are in the James Bay gold camp. They are in area of Goldcorp's Eleonore deposit that has resources of about 9 million ounces I believe. Again we think this is an area that will evolve over time into an important camp within Quebec. We are now with a very large land position and now we are going through all the data and evaluating and designing an exploration program that we will initiate over the next six months. We’re pleased to have these properties in the portfolio. Again we can get up to a 65% interest in those properties as we go forward. As you can see we are going to be very active on the exploration front as we go through this year and into next year. In summary, what we have got here is a very solid company Casa Berardi is a long life healthy production platform. We have acknowledged that by the investments that we are making digging the shaft and we believe Casa Berardi will be in production for many years to come. Joanna targeting feasibility study mid next year, potentially the next mine coming on stream and with our expanded exploration portfolio, we believe there is lots of exploration upside within our new increased land position. To backstop over that we have a robust balance sheet with $130 million in cash and next year we will produce a 165,000 to 170,000 ounces at a cash cost of around US$535 an ounce. At current gold prices we are going to generate significant cash flow to fund our activities going forward. With that operator I’ll conclude my remarks and we can throw it open for questions at this point in time.
Operator: (Operator instructions) Our first question comes from the line of [Graham Marton] with Desjardins Securities.
Graham Marton: Just wondering what we are looking forward in terms of exploration expense in this quarter?
David Hall: In terms of exploration expense, a fewer exploration activities about $6.7 million and another $2 million that will expanse related to the work that we are doing on the Joanna feasibility study.
Operator: Our next question comes from the line of Charles Gibson with Edison Securities.
Charles Gibson: I have two questions really. One is our matrix that the second quarter results seem to been least stated and I just wanted if you could give us a little bit background to that, that’s the first question. The second question is, with $131 million in cash, the potential for lots of posted cash plan incoming in. I wonder what your most recent thoughts dividends as well?
David Hall: Actually your first question, Charles I do not believe the second quarter results were restated again just confirming that. In terms of dividends obviously going forward something that we continue to review and discuss around the board level. As you can see we are making a fairly significant investment at Casa Berardi of around $30 million over the net two years. We haven’t made a prime decision on dividend at this point, but it is still something that we are actively considering.
Operator: (Operator instructions) Our next question comes from the like of (inaudible) with Dundee Securities.
Unidentified Analyst: I had about two questions as well. Just want to check what the grades would be in Q4, as it been improving so far?
David Hall: I’ll let Martin to answer that.
Martin Bergeron: As plan in Q4 grades are going to improve. The figures we have right now is 7.1, 7.2 grams pre tonnes for Q4.
Unidentified Analyst: The next question would be on sustaining capital. Are we expecting something similar to 2010 for 2011 in sustaining capital other than shaft sinking?
David Hall: Because of some of the issues we have with our mobile equipment fleet particularly during the third quarter, we are seriously considering every new part of the equipment for 2011 in moving forward. You can assume that.
Operator: Our next question comes from the line of Alex (inaudible) with BMO Capital Markets.
Unidentified Analyst: I just have a question regarding some of the actions you have been taking to resolve the fleet issues there in the third quarter. Now do you still accept that will see?
David Hall: Sometime that we move the equipment from the fleet for a significant period of time so that would not be recurrent. Availability has improved in September and in October and we don’t expect to have the similar problems we experienced during the past three months moving on with the fourth quarter. That said, I want to reemphasize the fact that some of our equipment goes back to almost mid-80s and although that all been refurbished they’re coming close to the hands of their efficient live. That’s why we are looking at it from point of view of the long-term operation at Casa Berardi and when needs to be done to make sure that we are as efficient as possible. We have also moved into an audit of our maintenance practices done by ABB over the past couple of months. They have very interesting recommendation that we will implement in the short to mid-term to make up even more efficient that we were off until now.
Operator: Our next question comes from the line of David Gunter of Private Investor.
David Gunter: Hi, David, as you know I’m not a private investigator. Anyway quickly, I just want to say it really sounds good. All the activity of North it’s truly great to the company and for us and I’m really happy about that. I wanted to ask you though about Joanna, if there a PEA or freight fees that shows the returns on that one, if it’s posted or if we could see it or what?
David Hall: Yes. There was a Pre-Feasibility Study that completed at approximately a year ago that’s posted on CEDAR on our website.
David Gunter: It is, okay.
David Hall: Yes.
David Gunter: Great, I will take a look. Thank you.
Operator: (Operator instructions) There are no further questions at this time. I would like to turn the floor back over to management for closing comments.
David Hall: Thank you operator and thank you everyone for listening in this morning to our conference call. I do want to point out what error I made that Ian brought to my attention in the presentation. When I was talking about the production for next year of 165,000 to 170,000 ounces, I ain’t inadvertently mentioned cash of $535 an ounce. That is the cash cost for this year that we are now projecting for 2010, moving forward into 2011 with the higher-grade materials of around $850 US amount. I apologize for that. Other than that, thank you again for your interest and your attention and we look forward to speaking to you on our next conference call. Thank you and good morning.
Operator: This concludes teleconference. You may disconnect your lines at this time. Thank you for your participation. 